Feiqi Mei: Dear investors, analysts, media friends, good afternoon. Welcome to Bank of China 2019 Annual Results Announcement. My name is Mei Feiqi, Board Secretary for Bank of China. Today, I will cohost this announcement together with Mr. Zhou Chengwen, General Office President and Spokesperson of Bank of China.
 First of all, I would like to introduce you the senior management members of today's announcement. They are Mr. Wang Jiang, President of the bank; Mr. Wang Wei, Deputy EVP of the bank; and Mr. Lin Jingzhen, EVP of the bank; Sun Yu, EVP of the bank; Mr. Zheng Guoyu, EVP of the bank; and Mr. Liu Jiandong, CRO of the bank, Chief Risk Officer of the bank. And because of COVID-19, we have to make this announcement online. We will face domestic and overseas investors and our analysts and the media friends online.
 First, I would like to give the floor to Mr. Wang Jiang to introduce you the 2019 annual results of Bank of China. After that, we will arrange question and answer. And also, the question-and-answer part will be hosted by myself. And for media, journalists questions, it will be hosted by Mr. [ Zhong Xiangqun ]. I hope that investors, analysts and media friends can ask different questions, and we can share the answers together.
 At present, under COVID-19, I would like to appreciate our thanks for various friends for supporting Bank of China, for overcoming difficulties and for being involved in our conference in different ways. Thank you again.
 At present, 2019 annual result of Bank of China has been announced, and the presentation of our annual results can be downloaded on our website. And also, you can have access to those PPTs in our live broadcasting page.
 And for the financial datas we introduce today, besides those special datas we mentioned, we all use IFRS reporting measured.
 Now I want to give the floor to Mr. Wang Jiang to introduce you about 2019 performance results of Bank of China, our strategic implementation result and the 2020 priorities. Now the floor is given to Mr. Wang. 
Jiang Wang: Dear investors, analysts, and media friends, good afternoon. Welcome you to Bank of China's annual results announcement. First of all, I would like to introduce you 2019 annual results of -- for Bank of China in 6 aspects.
 First our business performance grew steadily. In 2019, Bank of China seriously implement the [ steady progress ] this year, and we steadily seek approvals, and we stick to the new development concept supported the real economy to develop, and we try to mitigate and prevent risk. And we are very innovative in reform. We try to get more vitality, be more responsive and agile, try to speed up the establishment of global first-level bank in the new age. Our performance making progress steadily.
 The profit after tax for the year was CNY 201.89 billion, year-on-year increase of 4.9%. And profit attributable to shareholders after tax was CNY 187.4 billion, an increase of 4.06%. Operating revenue, profit before provision maintained faster growth. The split was 9.17% and 7.62%, respectively. 
 Second, core financial indicators improved steadily. NIM stabilized. In 2019, group NIM was 1.84%, an increase of 1 basis point as compared to the first half of the year. Fee and commission income flowed steadily. Fee and commission income grew by 2.76%. Credit card, internet payment, agency insurance businesses also grow rapidly.
 Operating efficiency improved continuously. Cost/income ratio for the year was 28%, a decrease of 0.09 percentage points. Capital level maintained steady growth. By the end of December, capital adequacy ratio of the bank reached 15.59%, an increase of 0.62 percentage points as compared to the end of 2018. Certainly, asset structure continuously optimized by the end of December. Asset scale reached CNY 22.8 trillion, an increase of 7.06% as compared to the end of 2018.
 We actively support the financial needs of real economy and expand the credit issuance and increase our bond investment. Total loan increased by CNY 1.25 trillion for the year, an increase of 10.57%. And the loan amount to total asset increased by 1.82 percentage point. Bond investment increased by CNY 405.6 billion, an increase of 8.22% and its percentage in the total asset increased by 0.25 percentage point.
 We focus on supply side structural reform and focus on investment in key areas. Our credit structure has been continuously optimized. Fourthly, liability business improved its quality. We make continuous efforts in salary payment, payment and receipt businesses. These are basic businesses for us to expand the physical customer and government and [ institutional ] customers. We try to safeguard the basic services like basic settlement account and cash management account. And we try to optimize business process and improve service quality so as to increase the loyalty of customer. By the end of December, our deposit of the group increased by CNY 934.0 billion, an increase of 6.28%. And the capital costs have been controlled effectively. And for -- this interest-bearing liability and the average interest rate of the customer deposit decreased quarter-by-quarter and asset quality improved. By the end of December, NPL ratio was 1.37%, a decrease of 0.05% as compared to the end of 2018. 
 Special mention overdue loan decreased both and special mention loan rate, 2.2%, a decrease of 0.68 percentage point as compared to 2018. And overdue loan rate, 1.25%, a decrease of 0.62 percentage point as compared to the end of 2018.
 Our market position continues to improve. Standard & Poor's and Fitch upgrade our individual credit rating and short-term issuer default rating. Our external credit rating maintained the highest among Chinese banks, while the U.K. Banker's (sic) [ The Banker ] Magazine rated us as the fourth bank among the top 1,000 banks in the world. 
 We actively honor our social responsibility and work hard on poverty eradication to help the country to fight poverty. 
 And the Board [ set up ] a corporate culture and the consumer rights protection committee to enhance corporate governance and capability building. We provide comprehensive services to the second China International Import Expo and try to make a preparation for the Beijing Winter Olympic games to be held as soon, and we are trying to feedback and return to the society by providing financial services.
 In 2019, Bank of China centered around the strategic goal of turning ourselves into global first-level bank. We have made a lot of achievements with good implementation results for the strategy in 6 aspects.
 First, we further deepened our reform. And first, with the new age, new requirements and a new trend. In 2019, we are making many reforms and many [ innovations ]. We have initiated and promoted 25 major reform projects and 86 minor projects. We're trying to be more vigorous, and we're trying to establish innovative, agile, service-oriented, open mandate and a learning headquarter. And we further deepen human resources management reform and trying to enable all the employees to be more entrepreneurial. And we also carry out organizational reform for personal banking business line. Digitalization was embedded into the full progress -- process of personal banking. We established a globalized R&D system, established Bank of China Research Institute.
 In cultivating our new driving forces, we focus on strategic layout in key areas to try to improve our market competitiveness. We speed up the establishment of scenario-building and promote the upgrading of customer service model. We try to initiate integration with certain overseas institutions and try to optimize our comprehensive layout.
 We also optimized the credit approval system of the company and established industry planning research center so as to enable our risk control to be more effective. And we also implemented data governance reform so as to be more solid in digital development.
 Next, we make continuous improvement in to serve the real economy. First, we continuously make more resources import. Domestic RMB loan increased by faster speed. We also made a lot of investment in local government demand, and our investment mainly goes to infrastructure. The ones in manufacturer, modern service, innovative company, green financing, consumer financing and other areas.
 Second, we carefully implement regional coordination development strategy, and the loans to key areas increased steadily. We are the first among Chinese banks to offer Yangtze River Delta comprehensive financial services plan, and we provide active services to Jing-Jin-Ji area and Xiongan New Area, and we promote the establishment of a demo area in Shenzhen. And we also promote the One Body with Two Wings development in Macao. 
 Thirdly, we do hard work in inclusive financing. Inclusive financing loan balance increased by 38% as compared to the end of 2018. The total number of customer reached 400,000. And the financing costs reduced gradually. NPL balance and NPL ratio both reduced, and we revert to the Tier 2 standards of PBOC's targeted reserve reduction classification. We actively promote services to private companies. POE loans reached CNY 1.96 trillion in 2019, take up 36.8% of our total corporate loans, an increase of 2.2 percentage point. And we underwrite POE loans. POE balance increased by 72.5% as compared to last year.
 We also sped up digitalization. We set up fintech innovation mechanisms. We have set up a Bank of China Fintech Co. to promote 5G Internet of Things, blockchain, virtual reality and other new technologies to be built into our application scenario. 
 We put forward more resources in IT. In 2019, IT investment reached CNY 11.65 billion, accounting to 2.1% of our total operating revenue. Second, we make new progress in infrastructure development. We promote multi-city, multi-center infrastructure layout. We deepen cloud computing, big data, artificial intelligence, this 3 new tech platform establishment. And we launched big data platform and also enterprise AI platform to Bank of China brand.
 And we also make major breakthroughs in key areas of digitalization, and we have set our digital channel operating mechanism with mobile phone banking, smart counter and a smart call center as to call. We speed up all the digital transformation of personal banking businesses. Daily active -- monthly active customers of mobile banking increased by 48.7%. And digital enabling of sales outlets are speeded out. We set up at least with 5G AI services and branded business services. And we also introduced smart counter to make transformation of sales outlets. And we promote corporate finance to get online, and we implement AI-based risk control, AML, and case prevention and internal control. We promoted cross-border education spots and also elderly people. These are our 4 strategic scenario so as to make new breakthroughs in customer expansion and business development.
 Firstly, we made steady progress in globalization. We further improve our overseas institutional layout and further improved our global services capability. Now our overseas institutions covered 61 countries and regions. We support Belt and Road initiative. In total, we provide USD 160 billion of credit to this region. And we also improved our global Internet-based financial services capability. The overseas area, corporate online banking and corporate mobile banking covered 60 -- 46 and 27 countries and regions, respectively.
 Secondly, we played the leading role in the traditional business. We are ranked #1 in terms of the cross-border RMB clearance and the settlement. And also, we played the leading role in the international settlement, exchange settlement, syndicate loans as well as offshore bond issuance and dependent bond issuance and the cross-border custody business. And also in terms of the number of currencies which can allow the foreign pricing offering, we reached 111. 
 The third one is about the new business, and we launched different types of product and services. And also, we try to improve our market influence as well as the service capability.
 Number five is about the integrated operation of our business. In terms of value contribution, we have faster growth of our integrated operating module, and we used less capital occupation for more capital gain. And then we bring revenue and the profit to the group. In terms of the function contribution, BOC have our optimization of our integrated operational function, and we have more the spectrum of the service provision, and we have more competitive products and then we have a coordinated system for the implementation of the business.
 In terms of the brand contribution, BOC Aviation is the most leading and #1 in Asia aviation leasing company. And the BOCI is the earliest established Hong Kong-based China investment bank, and BOCG Investment is the unique investment banking platform. A month ago, we have the BOCI China listed in Hong Kong -- sorry, in Shanghai Exchange and becoming #4 listed company for the BOC brand.
 And then we come to talk about the risk management. We try to enhance the risk management in 2019. We tried to research about the domestic and international situation. We prepared the contingency plan, and we tried to build this risk management system coupled with the strategic plan of the group, and we try to improve the smart risk control construction. And we also try to enhance our credit asset quality management, improve the active management and the proactive management for the risk control and management. We also enhanced our management framework, tried to enhance our integrated management of the securities and asset management business, and we try to control the liquidity risk and build a early warning system and all the indicators for liquidity risk control to reach our goal. So we have this steady and controllable internal control and operational risk control. 
 I should say 2020 is the critical year for us to win the strategy for building well of society. Banking industry is facing more stringent and a challenging environment. We have this -- the outbreak of COVID-19, which imposed great pressure for future development, and we also have the bigger pressure for the economic development. And we are also facing the restructuring of the international economy. Fed take the emergent plan to reduce -- to cut the interest rate and restart the QE measures. Chinese economy is also in the transformation period. We try to optimize the economic structure. And we understand there is the hit of the COVID-19 for Chinese economy, but we believe Chinese economy's -- the fundamentals are good, and we have this long-term optimistic development future. So we are now facing new trends and new challenge. BOC will steadily implement our central government's deployment and State Council's deployment, and we will take this steady manner to implement our strategy. And we will carefully implement the supply side's reform, and we will conquer the negative impacts imposed by COVID-19 outbreak. And we will have more concrete measures taken and deepening our reform and try to revitalize our strengths. And we will build our -- the mechanism for the agile response and try to consolidate our strengths and have the breakthrough in the major point. 
 And this year is the year for enhancing implementation, which means, in the key area, key business, we will implement our comprehensive operation in 4 major areas. We will achieve that sustainable development. We will rely on the science and technological development reform. We will focus on the data governance and the smart operation as well as the outlet transformation and the scenario building. And at the same time, we'll just prevent risk and control risk properly. BOC will improve our profitability as well as the efficiency of operation will enhance the corporate governance. We will bring more value for shareholders, for our customers and for the society. And we are going full forward for building this world-class bank of BOC. 
 And lastly, I'd like to extend my thanks to the investors, analysts, friends from media. Thank you for your long-lasting support for -- BOC support and development. And thank you very much. 
Feiqi Mei: Thank you, Mr. Wang. Now let's -- I'd like to open the floor for Q&A. I'd like to ask the investors and analysts to ask a question. To make sure you have -- everybody has the opportunity to ask question, I give each speaker the opportunity to raise one question. Please remind us about your working unit. And also, I would like to ask our assistant to connect to the first phone call for the first question. 
Operator: [Operator Instructions] 
Richard Xu: I'm from Morgan Stanley, Richard Xu. Congratulations for BOC's good result at this very difficult moment. I want to ask about the credit issuance. In 2019 BOC has good growth and we support real economy development. So I'd like to ask the senior management, what is the major investment area? Or rather, loan issuance area for the last year? And also in the -- then I also would like to know about your corporate loan disbursement. What about the size of the corporate loans? And how do you balance those loans and the infrastructure manufacturing rate on wholesale as well as the real estate area? And what is the focus? And what are the going -- what are the future prospects of such areas? 
Feiqi Mei: Okay. Thank you very much. I think it's related with our corporate operation. Mr. Lin is responsible for the operation of this field. So I'd like to give the floor to Mr. Lin Jingzhen to answer your question. 
Jingzhen Lin: Thank you, analyst from Morgan Stanley, Mr. Xu Ran. Thank you very much for your care about the operation of BOC. 2019, for BOC, we try to meet the demands of the real economy. We increased the loan disbursement. And for the whole year, the RMB corporate loan increased by RMB 553.6 billion, a 10.55% growth. And in the key area, we have witnessed the faster development growth of the loan disbursement. And we try to optimize the credit structure. And we also have a large proportion of mid- and long-term loans. We know, since 2020, we have some new challenges and new situations. However, the influence is not that big for the first 2 months. By the end of February, BOC bought and narrow RMB corporate loans has been increased by RMB 32.3 billion, RMB 91.8 billion, respectively, with the resumption of different provinces. We have higher demand of the loans, and we predict that there might be limited impacts of the epidemic towards the Q1 credit growth. By 2020, we will maintain steady growth of the RMB corporate loans, which is moderately higher than that of previous year, and we will optimize the loan structure. We will support more new and high-quality enterprises. We will increase the proportion of mid- and long-term loans. We also will improve the quality and efficiency of the financial services.
 In terms of the key area, infrastructure, road, railroad, city rail, all these are infrastructure sector, which is -- which are also the key sectors for BOC to support. During the past few years, we maintained high growth rate. In 2019, the loan disbursed reaches RMB 200 billion. 2020 is the very important year for us to build up this well-off society and the last year for achieving 13 -- 5-year plan, and we will try to improve the infrastructure power in this year. And with the decrease of the influence of COVID-19, we have the huge demands for the resumption of the enterprises.
 According to the Ministry of Transportation's information released, by 2020, we need CNY 2.6 trillion for the loans to support the road and railroad construction. BOC will increase our loan disbursement in these infrastructure areas to support Xiong'an new zone, Jing-Jin-Ji integration, the Greater Bay area, Yangtze River Delta integration area. All these are the major strategic area and -- for China. So currently, we already follow up the projects such as Beijing to Xuan high-speed rail and Yueqing high-speed rail, Beijing Subway and [ Chengdu ] airports. Totally, there are 60 -- 165 projects by 2020. For the whole year, we will maintain a steady growth of the loan disbursed.
 In the field of manufacturing, by the end of 2019, domestic manufacturing loans balance reaches RMB 1.3079 trillion accounting for 22.47% of the corporate loans, much higher than the peer banks. In 2020, we will continue our strategy to steady the growth of manufacturing to serve the high-quality development of the manufacturing industry. We were focusing on the advanced manufacturing industry as well as the transformation and upgrading of the traditional manufacturing industries. Number one, we will enhance our support for the modern technological development and high-end facility building and manufacturing. On the other hand, we will support the upgrading of the traditional manufacturing industry in the field of technological renovation and upgrading. So we will support the optimization and upgrading of the traditional manufacturing industry. At the same time, we will enhance the loan disbursement for the mid- and long-term loans and optimize the credit structure.
 In the field of wholesale and retail, by the end of 2019, the loan balance for the wholesale and retail are RMB 208.6 billion and RMB 41.7 billion. We have steady industrial structure. COVID-19 short-term influence may affect the development of retail enterprises and industry. But in the long run, we still have very strong demands of consumption for the Chinese people. So we predict we will have a steady growth of the consumption.
 In 2020, based on the trends of the consumption development, we will combine online and offline retail enterprises development. We will support them in terms of their demand for borrowing.
 In terms of the real estate lending business, in 2020, we will stick to the house for living rather than for speculation guiding principle. We will have a steady land price, real estate price and also the steady outlook. Therefore, the loan for real estate will be steadily growth. We will support the common department-based residential building development. We will support Tier 1 cities and provincial capital cities, what we call the city class disputing. Those are the hot demand of the people for real estate. So we also need to optimize the asset quality and credit structure.
 In terms of the key region development, we will implement our regional coordinated development strategy. We will increase the loans in a steady manner for those key regions. For example, we have the -- among all the Chinese banks, we first issued the Yangtze River Delta integrated financial service option. We try to support the Jing-Jin-Ji coordinate development and the Xiong'an new zone development. We also try to support Macao's One Body with Two Wings development strategy. In the future, we will play the full role of comprehensive financial service provision, and we will try to research into our soft power and softer strength to grasp the opportunity for further development. 
Feiqi Mei: Thank you, Vice President, Mr. Lin. Now we would like to... 
Operator: We will have the second question. 
Unknown Analyst: It is a great opportunity and I come from [indiscernible]. We have seen the annual report as we can see in 2019, all the asset quality keepers has registered to much improvement, including the NPL, [indiscernible] and special-mention ratio as well as the overdue ratio. As we know that this year, we have experienced some difficulties because of the influence of the pandemic. And in such macro environment, the regulators has come out with guidelines asking the banks to moderately raise the tolerant ratios for the NPLs for the banks. 
 So based on this year's basic situation, can you please give us an illustration of the type of the determinations [ tampered ] in the NPL? And on the loan, will it be a continuation of last year's standard? And for this new year's policy of -- for raising the tolerance to NPL, and how are you going to push forward the standard of your own plans, especially if you have a lot of overseas assets? Will it impose pressures to the overseas assets quality? 
Feiqi Mei: And your question seems to be a pretty big one, but it mainly focus on the risks, it is truly a focus point. Not only the analyst who are paying in great attention, I believe the media are also paying great attention. 
 Now I would like to invite Mr. Liu, the Risk Officer, to give us an answer. 
Jiandong Liu: Indeed, as you have mentioned, in 2019, BOC's asset quality has maintained a continuous rise, and the NPL has 1 increase and 1 decrease. And for the special and the overdue loans, we have achieved the double deduction. And the difference between overdue loan and NPL is CNY 15.6 billion, and the ratio between the overdue 90 loan and NPL is 56% based on the influence of the COVID-19. 
 The uncertainty factors are analyzed for the short-term influences, as you can see, the accommodation, tourism, wholesale, retail, transportation and such consumption services industries was the most hardly hitten. And also because of the shrinkage of the demand because of the transportation lockdown and the delayed resumption of the production, we know that the small and medium enterprises are among the first to be impacted. And also, we have seen a higher ratio of rich -- of the individual clients. And also because of the continuous reduction of the repayment capabilities of the clients and also because of the delay of the judicial litigations, we know that such recovery work will be very difficult.
 And from the future prospect, we will see that the overdue amount and its proportions will be on a rise. So facing such a situation, according to the regulators, BOC would like to do a better job to do resumption of the production, especially for those clients who are mostly impacted by the pandemic, particularly for the small businesses, individual businesses. We would like to make further arrangements of the repayment and the renewals and others so that we can do a better job in the credit protection as well.
 We would also take the measures of reduce the loan rates as well as extending credit loans and medium and long-term loans to reduce the impact to the enterprises. Our bank has also made a survey on the negative impact to the asset quality because of the pandemic. We have conducted the scenario analysis and a stress test so that we can come out with a solution for each and every customer to come out with better solutions, for example, to optimize the existing loans. We would also like to utilize all types of technological tools to resolve the NPL to enhance the write-off. While, at the same time, we would also like to pay great attention to the technological iteration and the adjustments of the policies, pay great attention to the business opportunities of the new economy, the new infrastructure and the new consumer areas. Through all these measures, we hope, for this year, we can still maintain the stability of the asset quality as well as the credit cost.
 As you have mentioned about the overseas branches, indeed, with the spreading of the pandemic overseas, we have seen increasing uncertainty of the overseas business, and we have seen a large scale of the volatilities of the financial market. As one of the Chinese banks with internationalization ratio, we believe that we are facing greater challenges. But as you know that most of our clients are basically concentrated on the high-quality larger-scale enterprises and those enterprises that has gone global, so the impact can be limited. However, for the mid- and short term, we are under a great pressure. But for the long term, I guess it is still manageable. We would ask all the overseas branches to make measures to identify such risk assets so that we can take active measures to mitigate such risks. 
 You have also mentioned about the relaxation of the regulation standard above the NPL. Actually, for the determination of the NPL, it was not adjusted. And our bank will be fully compliant with the regulator so as to have the determination of the NPL. 
Feiqi Mei: Now I would like to continue to the next question. 
Operator: [Operator Instructions] We will actually come up to the next question. You can ask the question. 
Unknown Analyst: Senior management of the BOC branch, I'm from China Life, my name is [indiscernible]. I want to ask questions about the NIM. As we know that the whole -- the NIM of 2019 [indiscernible] is stable. However, with the reform of [indiscernible], the banking industry is under pressure. As you know, the major economies of the overseas are reducing their interest, which will constitute downward pressure to the NIM policy. So we really want to know about the conversion of the existing financial risk, the pricing benchmark and also what type of measures has BOC has taken? [ What's the ] asset liability allocation? And what is your prospect of the annual NIM for this whole year? 
Feiqi Mei: Indeed, I believe that China Life is one of our BOC's most important shareholder. First of all, I would like to thank China Life for your continuous investment in the BOC. Actually, the NIM is really what we focus great attention on, on the capital market. And also, the overseas economies' reduction has a great impact. And Mr. Sun Yu, the President, has amended in this regard, responsible for the supervision of the overseas branches. So I would like to ask him to answer this question. 
Yu Sun: Indeed, actually, in 2019, we have a very stable NIM and NIM is 1.84%, 1 basis point higher than that of the first half of the year. And I believe this is truly a remarkable achievement because of the negative external situation. First of all, we can see that, currently, according to the LPR plus spread pricing, and also such conversion work of the benchmark, commercial project has initiated on the 1st of March with downwarding of the LPR and the profit of the loan will be on a decrease. 
 And secondly, the Fed has taken the QE measures. As you know, since March, the Fed has reduced their interest rate by 150 basis point, which has come out to a historical low, while at the same time Fed also take the measures of the asset repo and other measures to provide liquidities of the U.S. dollars. So it will have a direct influence of our asset profit.
 And also, for the conversion, according to the #30 notice in 2019 on the 1st of March, we have initiated the work. And until the end of February, altogether, we have more than 9 million items of such conversion and accounting for CNY 6.05 trillion and more than 99% involves a personal loan, and we will have such conversions through online. And for the corporate loan, we do not have a lot of customers. Basically, it is on a one-on-one offline basis. Current work is on progress.
 And looking into the future, we will have a proactive judgment of the market by providing the support to the real economy, we would like to increase our efficiencies of the asset liability allocation. First of all, we would like to continuously optimize the asset structure. We need to optimize the existing and to use better of the newly added assets, and we would also like to increase the proportions of the loan to the bank's investment. And secondly, we would like to control the liability costs so that we can accelerate the scenario establishment, providing better services to the customers. And also, the financial assets should be our main things that we need to further better use the customers' capital, so that we can reduce the impact to the NIM or because of the change of the market environment. 
Feiqi Mei: Now we would like to come to the last question. [indiscernible]. Now to the next question. 
Unknown Analyst: [indiscernible] possible key [indiscernible] from the [indiscernible] commitments. This is [indiscernible] from UBS. 
 My question is about the capital. As you know that we're facing the rampant [indiscernible] especially the COVID spread [indiscernible] market and last year, you said that BOC has [indiscernible] of capital [indiscernible] your half partly issued to the overseas preferred shares, which has attracted higher attention of the market. And so for this year and later, are you going to have any plans of [indiscernible] replenishment on -- concerning about the current key standard? And what is your retention plan? And will this [ effect your ] progress? And what is your target CAR for the adequacy ratio? 
Feiqi Mei: Thank you, UBS, for your kind question, and starting from last year, indeed, within the capital replenishment, we have several wonderful and remarkable moves. And we would like to give the floor to VP, Wang Wei, to address this question. 
Wei Wang: Thank you to the analyst from UBS and for your question on the capital replenishment. Actually, for a very long period of time, our capital plan, we have been paying great attention of the internal accumulation and the external replenishment. And the first aspect is to increase the utilization ratio of the capital so that we can increase the organic usage capacities of our capital.
 And secondly, based on the requirement of the regulators and the capital of our bank, we would reasonably push forward the replenishment of the external capital. As you know, in 2019, our bank has finished CNY 40 billion perpetual bonds and CNY 100 billion domestic preferred shares and CNY 70 billion second layer capital bonds. So for the whole year, we have a replenishment of the capital amounting to CNY 210 billion, reaching a historical high. Perpetual bonds, actually, it is the first such issuance of all the domestic commercial banks. And CNY 100 billion preferred issuance has also reached the biggest issuance scale globally. And in this March, we also issued altogether USD 2.82 billion of overseas preferred shares with a rate of 3.6%. We have, though, created several records. That is to say, that is the coupon rate historical low of the G-SIBs in the other first-tier capital. And also, we have set up other records, including the Chinese banks, capital banks of the other first-tier capital coupon ratio lowest. And we will continue the CNY 40 billion of the perpetual bonds.
 And also, we will initiate a next round of capital replenishment plan and initiate relevant capital replenishment work. As to our TLAC implementation requirements, according to FSB, by 2025, G-SIB countries -- the G-SIB banks in emerging countries should satisfy these requirements. We are working together with Chinese regulators on TLAC implementation. We will adopt different matters to satisfy TLAC requirements. In supporting the real economy, we also will promote the asset to be lighter, and stick to high-quality development and steadily increase our capability of internally accumulate capital.
 On the other hand, based on market situation, shareholders' requirements and the regulators' requirements, in line with the capital status of the bank, we will make a rational arrangement of capital replenishment plan and make use of different channels, different method to supplement the capital and explore TLAC tools issuance. 
 By the end of 2019, our capital adequacy ratio reached 15.59%, a historical high. Our capital ratio -- adequacy ratio are always higher than domestic comparable banks. And in the future, we will stick to the concept of value creation and stick to the high-quality development model. To satisfy regulators' requirements, we will steadily increase our capital adequacy ratio. Thank you. 
Feiqi Mei: That's all the questions for analysts and investors. If you have further questions, you can approach me or approach investors relationship department of our bank.
 Now I want to give the floor to Mr. Zhang Shouchuan. He will host the question-and-answer session for media friends. 
Shouchuan Zhang;Director General: Thank you. Thank you, Mr. Mei. Media friends, analysts and the investors, good afternoon. My name is Zhang Shouchuan, I'm the Director General of the general office of Bank of China and also, Spokesperson of Bank of China. Welcome you to this press conference. Although I cannot see you, but I can feel that you have a great -- okay, are a great support and a great help for Bank of China. So I would like to, on behalf of Bank of China, to express my sincerest thanks to all the media friends for offering support to Bank of China. I hope that the COVID-19 situation can be over soon and that we can see you soon. 
 Now we would like to invite our media friends to ask your questions. [Operator Instructions] Thank you. 
Operator: So now we move to the next person. 
Unknown Attendee: My name is [indiscernible] from Financial Time. So my question is ever since COVID-19 happened, the country have adopted a series of measures to fight the virus -- to fight against the virus. So it means all the banks will play a key role. What are the matters that were adopted by Bank of China? And will this COVID-19 situation have a major impact on the performance of Bank of China? 
Feiqi Mei: Thank you for your question. At the beginning of this year, [ to deal ] with this epidemic, Bank of China have made a faster deployment, agile actions to support virus fight and to support resumption of work. Now the floor is given to President, Wang Jiang -- VP of -- President of the Bank -- sorry, President of the bank. 
Jiang Wang: Thank you. Thank you for your question. Since COVID-19 happened, Bank of China stick to the oral instruction and the written instruction of President Xi Jinping, and we sincerely implement the actions and the instructions of the Central Party Committee. And also, we try very hard to prevent the virus and also to provide financial support so as to honor our responsibility as a state-owned, bigger bank.
 I want to introduce you to our situation of COVID-19 work. First with the outbreak of COVID-19, in line with the party and the State Council's arrangement, we set up emergency leadership group, headed by Mr. Liu Liange, Chairman of the Board. And also, in line with the party and the regulators' requirements, and we try hard to prevent the virus spreading and try to maintain business continuity to provide full support to the virus fight. And we have provide payment services and other financial services as well.
 In China, in domestic -- domestically, we have issued a development announcement and the guiding opinions for COVID-19 prevention to specify the working mechanisms for the virus prevention and the control. And we have formulated and issued branch prevention emergency plan to guide the domestic institutions to follow the requirements of local governments and the local regulators to maintain business continuity and the customer service quality.
 In overseas countries, we also issued COVID-19 prevention and business continuity plan for overseas subsidiaries and branches. Because of the spread of this virus in overseas countries, we also issued a notice to further guide our overseas institutions to fight against this virus. Up to now, the disease prevention and the controlled work of the bank is steadily making progress. 
 The overall situation is stable, and the employees have a stable mind, and the work is orderly carried out. We have provided normal operation of global financial services. While preventing virus to be spread within Bank of China, we also provide services to disease prevention, resumption of work and the real economist development. We provide targeted financial services. 
 At the beginning of the year, we have increased our loan extension. By the end of March 26, domestic RMB lending increased by CNY 518.5 billion as compared to the beginning of this year of CNY 203.9 billion higher than previous year's increase. We offer our support to companies listed in the National Disease Prevention List so as to help with the fight against the virus. 
 In total, we have extended preferential loans of CNY 16.107 billion to 711 companies on the National Disease Prevention List, and we are among the top within peers. And we have extended CNY 7.8 billion preferential loans to 366 corporates or local list for disease prevention. 
 And besides this lending support, we make use of different financial instruments to strengthen our support to disease prevention companies. For example, we underwrite and issued disease prevention bond. In total, the issuance size was CNY 18.15 billion, we also issued CNY 500 million of CD for domestic disease prevention. And also, we issued corporate social responsibility bond. In total, CNY 625 million for overseas disease prevention and corporate -- and small- and medium-sized companies' development. 
 And also, we provided investment and personal lending to medical services and government officials and confirmed patients and suspected patients and spouses. If they are suffering in this disease process, we give them grace period for payback of personal loans or credit card default. And also, if some of the customers lose income because of this COVID-19, we will extend the loan payment period and plan the payment of principals for them. 
 And we also organized our employees to procure a lot of PEP materials to support the frontline fighters against the virus. And also, in total, our employees, our party members have donated RMB 156 million worth of goods to the frontline fighters. And we also provide insurance policy to 922 medical institutions. 
 In total, 127,000 doctors and the nurses or disease prevention staff. And the prerequisite for disease prevention, we also provided services to resumption of work. We provide resumption of work alone to support small- and medium-sized company to recover.
 And for wholesale and retail as well as recreation, catering, logistic, transportation, cultural and the tourism industries, because of the COVID-19, they are in difficulties. And we do not take away the loan or try to call back the loan or have the difficulties in loan issuance, but we try to provide extension and refinancing to them. 
 We are also adopted 13 matters to stabilize foreign trade to protect the foreign trade, industrial chain and the supply chain. We give full pledge to the rural bank and promoted disease fighting lending to help for the farmers to engage in spring farming. We also adopted announcement in providing enhanced financial services, supporting resumption of work and help with the social order and economic order. 
 We also issue matters to support Hubei Province disease fighting and the resumption of work. And we have adopted various matters to support resumption of work and to support the work in manufacturing, to support poverty reduction and to support livelihood and employment.
 While supporting domestic resumption of work, we saw the spread of the virus in overseas countries. And we implemented the concept of shared faith and shared community. We organized domestic branches to buy personal protection equipment and to support overseas fight against the virus. We have provided assistance to 40 countries or regions in the world. 
 And in the next step, we will fully play our role as the Chairman of China-Italian Business Committee, China-France Business Committee, China-U.K. Chambers of Commerce. We will try to help about -- in other countries, help our major trade partners and help those hard-hit countries and the regions, and provide PPE to them so as to establish shared community for humankind.
 Also, the media friend have asked the second question about the impact of COVID-19 on the bank. COVID-19 will inevitably have a big impact on the economy and on the society. About the impact of COVID-19 on our annual result for 2020, we believe that the virus impact is short-term and we'll gain control.
 And now domestic situation of the disease is improving and many more companies resume work. By the end of yesterday, about 97% of our sales outlets opened to the public. In Hubei Province, our sales outlets, about 70% of our sales outlets in Hubei Province resumed the work, and the domestic businesses are stabilizing and are coming back.
 Now we look at the overall economy of China. COVID-19 will not change the overall trend of good economic performance of China. And I think COVID-19 will change people's life and change people's production method and change people's behavior and business model. So commercial banks have to achieve digital transformation to be more agile, to establish more scenarios, to be more smart in operation and to enable our operation with high tech. This will bring new opportunities and new challenges.
 During the COVID-19 epidemic process, we began to feel that because of our strategic implementation, active implementation of digitalization, smart operation, and we have coped well with this COVID-19.
 We have many businesses that are not influenced by this pandemic. For example, cross-border payment, credit cards cross-border payment, they're not influenced. And the growth of this type of business has exceeded the previous years and reaching the historical high. 
 So talking about the pandemic impacts. Actually, it's a great opportunity for us to transform our business, and we will implement new developmental strategy and focusing on the supply side reform, and we will try to promote science and technology-based digital transformation. We will build this scenario effectively to support the real economic development. We will use our high-quality development to support the society's high-quality development. We will reach our goal of building this world-class banks.
 And in terms of the overseas market, we know there is the spread of the pandemic in the overseas countries, which impose great pressure and hit the global economic development. Focusing on this challenge, we first pay high attention to this. We also research into the possibilities, and we formulate the contingency plan to prevent different types of risks. We try to reduce the negative impacts of this pandemic towards our business. No matter from the domestic market or the international market or the operation of our business, we believe that the pandemic impacts towards our business is controllable. Thank you. 
Feiqi Mei: Thank you. Mr. Wang. Now I'd like to invite other media friends to raise questions. 
Operator: [Operator Instructions] 
Unknown Attendee: I'm from [indiscernible]. The spread of the pandemic is going to cause the position of the [indiscernible] Bank of China is [indiscernible]. So what do you do? What are your views? And what is your future global strategy and operational strategy to address these pressures? 
Feiqi Mei: Thank you very much. In the very long run, Chinese BOC played the leading role for foreign trade-based financing, in particular, after the outbreak of the pandemic. We try to play a role to ensure the industrial chain smoothly implemented. And now I'd like to give the floor to EVP, Mr. Lin to answer your question. Please, Mr. Lin. 
Jingzhen Lin: Thank you, my friends from [indiscernible]. After the outbreak of this COVID-19, BOC actively implement our national strategy for the contain of the pandemic. As Mr. Wang has already give you the introduction, I will focus on the financial support. 
 We have 6 steady support. In particular, we need to support the foreign trade financing. We need to play the leading role of BOC. And we are professional and international bank. So focusing on the foreign trade, we have 5 areas we consider as the pain point. We are implementing strategies to support in these areas. Totally, there are 6 measures. The first one is to have this comprehensive financial support to stabilize the development of foreign trade. 
 We have total 11 -- sorry, 13 measures. We have the special service options. During the pandemic period, we provide no less than RMB 100 billion to the enterprises focusing on the foreign trade. And also, we have the special finance service plan to be implemented in Shanghai, Zhejiang, Shenzhen, totaling more than 10 provinces. We work with the local Bureau of Commerce. So we have this -- the joint stable foreign trade special service.
 And the second measure is we support the enterprises to finish their existing orders and accept new orders. So we focus on this industrial chain. We work with a [ final shore ], is a mechanism for us to interact with each other. Recently, we already start our implementation in 12 key areas. So we try to enhance our cooperation for the export credit insurance.
 And the third measure is to, in overall manner to support the protection, goods procurement, people's livelihood and big commodities' import procurement. During the Spring Festival, we have already finished more than 200 contingents remittance for the protection gears purchasing. And we also try to improve the scenario building to have this online financial service provision. 
 We have the one window financial service provision function. We use the iGTB platform to provide our customer with more convenient account opening services, and we try to meet their demand for the cross-border settlement. We also provide the document review online as well as online settlement of the foreign exchange. We also finish the function of the settlement of the documents. And number five is to try to reduce the burden for the small and micro private companies. We try to exempt their financial service fee or commission fees. We try to use other products, for example, supply chain financing and the noted document discount, those structural products to support the SMEs and the micro enterprises. 
 Number six, we play the full role of professionalism. BOC is the leading bank for foreign exchange and cross-border RMB business. And we try to work with other provinces and peer banks to build this green channel for the cross-border financial service provision, focusing on different types of trade-related conflicts and risks. We provide -- and we provide consultation for our enterprises in terms of the relative risks. 
 And we have more than 120 hotlines to answer questions. Recently, we have witnessed the spread of this pandemic. The market is concerned about this, and we may trapped into this global recession. And all these are new challenge for BOC's business operation. We will change those crisis into opportunities.
 We have 2 pillars: panic prevention and improve the operation and the management. We try to focus in on the existing risk, and we try to have the localized measures to address those challenge, and we will maintain steady development of our globalization strategy. 
 In the long run, we have mitigate the influence of this pandemic. We will promote the integration, development strategy between -- within and beyond China. We will try to allocate good resources, and we will do good service provision for this Belt and Road strategy. 
 We will promote international capacity cooperation, and we will improve our support for the enterprises. At the same time, we will just improve our global service capability, and we will have a more complete global product system to have a optimized business structure. And we will enhance our customer relation. We will try to improve the -- our overseas market as well as our customers, and we will use our financial force to support China's globalization process. Thank you. 
Feiqi Mei: Thank you, Mr. Lin. Now I'd like to invite our media friends to ask question. 
Operator: The next media journalist is [indiscernible]. 
Unknown Attendee: My name is [indiscernible]. I'd like to ask about the transformation of the prospective business. I realized that you restructure the personal business towards the more digitalization of the strategy. So I'd like to ask you a question on how do we understand this transformation, digital transformation? What is the expectation? Now we are facing the downturn pressure of the economy and also the pandemic has hit our economy harder. So I'd like to ask you, what is your strategy to address this challenge, in particular, in the field of the personal consumption? 
Feiqi Mei: Thank you. Thank you for your question. Last year, we have the personal business transformation of digital service provision. I'd like to thank you for your question. Now I'd like to give the EVP, Mr. Zheng Guoyu to answer your question. 
Guoyu Zheng: Thank you. Thank you for your question. Actually, you have a big question to 2 small questions. So I'd like to answer your first question. First, as for this new personal business line structure, it includes 3 Tier 1 department and 2 Tier 2 department, namely personal digital financial sector in consumption financial department and bank card center. The 2 second tier are digital platform center and private service center. So we can understand this transformation from 4 perspective.
 Logically, our reform is in accordance with our company strategy upgrading, and we need to address the trend and also, we need to change. 
 First one is the digitalization. Digital service provision is going to be the gene of BOC for our personal financial products, process and business line. The second one is the problem-oriented transform. We will have the agile business lines and the strengthened headquarter. The third one is the customer-oriented. We will have the customer-based sales model. The fourth one is the market-oriented. We will have our uniqueness among the cross-border business, private banking business, consumption financing and the business cards.
 So from -- in terms of the digital transformation, we have the agile front desk. So we have the mobile banking. We make mobile banking more comprehensive and integrated. We will build the scenario. We're deepening the integration of online and offline business operation. The second one is to build a integrated mid-office. We try to promote the smart account, smart equity and smart investment advice consultation. The fourth one is the high efficient back office, meaning we will promote the digital operation and smart risk control and the precise sales.
 In terms of the focal area transformation. It's going to be data-driven. And the second one is going to be smart. We will try to improve the products, make it smarter. And we will also have the smart operation for the fraud prevention. The fourth one is what we call the build the ecosystem, the open ecosystem. We have the system for the account and user as well as the payment. 
 And the fourth one is the factor integration. We will provide a whole life cycle comprehensive service to our customer. Number five is the mobile-first principle using mobile banking as the core. So we have the online business coverage. And we also have this real-time online business provision. So in terms of the transformation efficiency and effects, even though it's not very long, and we have -- already have the achievements, in 2019, the RMB deposit has been increased substantially than our peer banks for personal member -- the number of the personal customers has increased substantially. 
 And in terms of the mobile banking, we have more than 300 items optimization. The active monthly customer member has become the #1 among the big 4 commercial banks, and we also try to make it more smarter. We have the BOC smart investment. The total investment reaches RMB 12.3 billion for the digital accounts. The -- we have about 57.04 click monthly. And we also have this -- the equity management system for our personal customer, and we have 700 team for the big data management scale. And we also have 108 -- 1,894, the customer labeling for improving of our data box. So I encourage you to use more BOC's mobile banking. I believe you will love it.
 As for the second question, during the pandemic period, we enhanced our online support. We launched the series of the policy package and tool kits from policy, customer, data, products, channel. And customer managers point to provide a series of online service and online products. For example, we have the resumption loan and extension of the loans products. 
 And we also have the comprehensive solution for the Medicare workers. And we also have the mobile phone-based pandemic prevention zones. We also have this distant interview for the personal loan applicants. We also have the BOC broadcasting. We try to support the small and micro enterprises resumption. We provide steady support for that. 
 And also, BOC reduced the interest rate for BOC e-loans, thus to promote more consumptions among the consumers. And we also play our strengths as a globalized bank. We use the global banking app to provide services. By the end of February, we have 55% of the increase of the customers gained.
 In the short term, the pandemic will not only have a comparative impact to the economic development and the consumption of the consumers. Well, it will also, on the mid- and long term, change the behaviors of the individual customers. It will also change the interactions between the bank and customers, such no-touch contact will become the main trend for us to serve our customers. 
 I believe this pandemic has firmly definitely determined our determinations of our digital transformation on. So in the future, we'll further enhance our digitalization transformation capability, accelerate our transformation to the online scenario so that we can build up the scenario, equal building and continuously come out with digitalization scenario obligations. 
 So as we would be able to come out with differentiated services, push forward the product innovation, diversify our product portfolio so as to build up a very flexible service platform for all customers. We have also set up a multilayered consumer financial system. We would also accelerate the wealth management digital transformation, come out with our open platform, and build up a very strong R&D system so as we would be able to satisfy the needs of the steady increase of the consumers' demands. 
 Now because of the time limit, we would like to give the floor to [indiscernible]. We would like to ask the journalists to ask the questions. 
Unknown Attendee: My name in [indiscernible] from China Securities Newspaper. I want to ask you have such a very unique [indiscernible] development. The inclusive businesses operation pressure is on -- will the BOC make any adjustments to the inclusive finance credit policy? And what is the game or expansion plan for the whole year? And what is the comprehensive financing cost? And what is the asset quality of the existing loan? 
Feiqi Mei: Thank you, [indiscernible]. Indeed, inclusive financing is something that has been paid great attention to by BOC. We would like to give the floor to the EVP, Mr. Wang Wei, to address the question. 
Wei Wang: I would like to thank the question from this journalist. I believe the question is also near and dear to the heart to the CPC Central Committee, the State Council as well as the regulators. In 2019, BOC, when providing the inclusive finance, we have reached all the requirements of CBIRC units to increase to control requests. 
 We have also satisfied the second-tier reserve reduction by the PBOC by the end of 2019, and the loan balance of the small businesses is CNY 412.9 billion and an increase of CNY 114.5 billion, an increase of 38%, higher by 26% -- 27% of the other loans. And we have a loan number of altogether, 397,500, increase of 30,300, and the NPL ratio is 1.77%, a decrease of 1.55%. 
 And in 2019, the average rate of the new loan is 4.3%, a decrease of 111 bp. While at the same time, the PBOC required -- targeted loan balance is CNY 439.1 billion, an increase of CNY 116 billion. And we have also provided services to 2.5 million customers. And by the end of 2019, among which, the loan customers reached is 206,000 with a balance of CNY 44.467 billion; NPL, 1.268%.
 After the outbreak of the pandemic, our bank has put forward a series of inclusive finance measures. We have come out with fight of the disease of the loan and also, easy quick loan as well as reaction to the pandemic loan and other special finance product. Until 24th of March, altogether, we have provided over CNY 3 billion to the to 394 customers in our list. We have also provided more than CNY 1 billion to 210 customers in our local important enterprises first.
 And for those small enterprises, we are now going to habitually cease the loan, extend the loans or delay the extension of the loans. Through the renewal or adjustments of the repayment plans and the loan restructures, the renewal of the loan without paying the principal, we would be able to provide better support. And until the 10th of March, we have already extended the loans for more than 2,786 small businesses, reaching an item of altogether, 3,871 and amounting to CNY 10.7 billion, among which extensions reaches CNY 1.7 billion; and renewal reaches CNY 2.5 billion; other measures, CNY 6.4 billion. 
 We have also provided CNY 3 billion of the delayed interest repayment for 1,293. And we would also like to make the measure for the first half of the year. We -- the loan interest rate should be no less than 30%. For the annually, it should be reaching around 20%. And our inclusive finance plan increase should be no lower than CNY 90 billion. 
 And also last year, we are going to reduce the financing cost, reducing our cost on the basis of last year by 50 basis points. And for those small enterprises located in the province, such a reduction will be reached at 100 bp.
 And lastly, we will like to improve the service efficiencies of the innovation project, especially for those online financing product. For example, the BOC enterprise e-loan and credit loan as well as other types of products like low-cost or no-cost loan renewal products like [indiscernible], and et cetera.
 And fourthly, we would like to provide some other measures to enhance our mechanisms internally to provide better services with inclusive businesses. And fourthly, we would like to keep the bottom line of the asset quality. And nextly, we would also like to play a full role of the [ Chung yun ] BOC Fudeng Village banks. It's a unique strength so that we can provide better services to the countries, to the small businesses in the rural areas as well as the individual businesses, so that we can make our own contributions from the BOC. 
Shouchuan Zhang;Director General: Thank you very much. Thank you, EVP, Mr. Wang. Because of the time limit, we would like to conclude this round of the Q&A. I would like to thank the journalists and the media friends, under such impact of the pandemic, participated in this online annual results announcement. I would also like to thank all the audience who have participated in this online annual result announcement through online. 
 I would like to declare the conclusion of the 2019 BOC Annual Results Announcement. Once again, my heartfelt thanks to your continuous support and your attention to BOC. In this time of spring, while the flowers are in full blossom, I would like to wish all of you a great health and a wonderful prosperous year. 
 [Statements in English on this transcript were spoken by an interpreter present on the live call.]